Operator: Thank you for joining Nissan’s Fiscal Year 2024 First Half Financial Results Announcement. First, let me introduce the speakers for today; Makoto Uchida, President and Chief Executive Officer; Stephen Ma, Chief Financial Officer. In today’s agenda, we will begin with the presentation followed by Q&A session. Now I’d like to turn over to Uchida-san.
Makoto Uchida: Good afternoon, everyone. Thank you for joining us. Today, Nissan is announcing its first half financial results that reflect both evolving market conditions and specific issues faced by the company. Let me begin with the summary of the results for the first half of the fiscal year. This will be followed by CFO, Stephen Ma, who will be taking you through the details of the financial results for the first half and second quarter ending September 2024. I will follow with an assessment of the impact on our outlook for the fiscal year and then explain the turnaround actions we are initiating. As I stated earlier, Nissan’s financial performance in the first half of this fiscal year was greatly impacted not only by external challenges, but also by our specific issues. Net revenue was flat at ¥5.984 trillion. Operating profit fell by 90% year-over-year to ¥32.9 billion. Net income was down by 94% at ¥19.2 billion. Stephen will now take you through the details. Go ahead.
Stephen Ma: Thank you, Uchida-san. Good afternoon, everyone. I will now present the key metrics for the first half of the year. In the first half, total global retail sales decreased by 1.6% to 1.596 million units. Excluding China, sales were down by 0.5%. Retail sales decreased by 5.4% in China, 2.4% in Japan and 1% in North America. In Europe, retail sales grew by nearly 1% and 1.5% in other markets. We lowered global production volume by 7.9% to 1.56 million units as we continue to adjust inventory levels to market demand. This slide shows our key financial performance indicators. In the first 6 months of the fiscal year, consolidated net revenue was ¥5.98 trillion and operating profit was ¥32.9 billion. Net income totaled ¥19.2 billion, and we increased CapEx to ¥230.8 billion and R&D to ¥295.7 billion as we continue to focus on new model launches and investment related to ASSB. Net revenue for the automotive business was ¥5.35 trillion. Net loss was ¥116.1 billion, and free cash flow was a negative ¥448.3 billion. However, we continue to maintain ample levels of liquidity and net cash was at ¥1.36 trillion. Turning to the financial performance for the first half and second quarter. Versus last year, net revenue decreased by ¥79.1 billion for the first half and by ¥159.9 billion in the second quarter. Operating profit decreased by ¥303.8 billion in the first 6 months to ¥32.9 billion and by ¥176.2 billion to ¥31.9 billion for the latest quarter. Net income for the first half totaled ¥19.2 billion and a negative ¥9.3 billion for the second quarter. This slide shows the operating profit variance factors from the first half of last year to this year. Foreign exchange had a positive impact of ¥28 billion due to the depreciation of the yen against several currency, including U.S. dollar. Raw material costs had a positive impact of ¥21.2 billion. And sales performance had a negative impact of ¥194.5 billion. Monozukuri cost was ¥42.7 billion, and inflationary items was ¥71.3 billion. Other items, including sales finance, credit losses and remarketing expenses had a negative impact of ¥44.5 billion. These factors resulted in an operating profit of ¥32.9 billion for the first half. Uchida-san will now explain the outlook for the fiscal year and the turnaround actions to restore the performance of the company.
Makoto Uchida: Stephen, thank you very much. In light of the significant challenges we are currently facing, we are revising our guidance for the full year. We anticipate retail sales of 3.4 million units, which represents a decline 6.8% from our previous forecast. Sales in China are projected to decrease by 13.1%. While excluding China, we expect unit sales to rise by 2.3%. Sales in Japan are expected to reach 480,000 units. In North America, our forecast stands at 1.34 million units, indicating a 6.2% increase. Sales in Europe are expected to decline by 3.1%. And other markets are projected to see a slight decrease of 0.2%. Production volume is now estimated at 3.2 million units. We are revising the forecast for the fiscal year. Revenues are expected to reach ¥12.7 trillion. Operating profit is revised to ¥150 billion. This is ¥350 billion lower than our previous forecast. Net income is to be determined as we are currently assessing the potential costs associated with our recovery actions. We anticipate CapEx to be ¥580 billion and R&D spending to be ¥650 billion. This slide shows the variance factors behind our revised outlook. The operating profit forecast has been updated to reflect an additional ¥110 billion negative impact for foreign exchange and raw material costs. We also expect a ¥200 billion reduction in sales performance primarily due to ongoing selling expenses related to our efforts to reduce inventory levels. For the full year, we also anticipate ¥20 billion in Monozukuri cost and ¥20 billion in other costs. Considering all these factors, we have revised our operating profit forecast to ¥150 billion. Regarding the dividend for the fiscal year, we remain committed to sustainable shareholder returns. However, given the current situation we are facing, we have elected not to pay the interim dividend. The year-end dividend will be determined later based on the pace of recovery for the business. Earlier, we represented the results of the second quarter and the first half of the fiscal year as well as the full year guidance. In response to the latest performance, in order to demonstrate the management responsibility, I am forfeiting 50% of my compensation starting from this month. In addition, other executive committee members will also voluntarily take a pay reduction accordingly. Let me present the main causes of the extremely tough situation. Looking across the markets. In China, one of the core markets, the local brand’s new energy vehicles have been growing rapidly in the recent years. As a result, the joint venture non-premium market, a main battlefield of the joint venture brands including Nissan, is shrinking. The speed of the decline is accelerated along with intensifying price competition this year. In addition, Chinese players are significantly increasing their exports to other markets such as Southeast Asia, the Middle East and Latin America, where our businesses are impacted. In the important market for Nissan, the United States, the demand for hybrid and plug-in hybrid are sharply increasing. Nissan, which does not have an offer, is struggling in the market. We also have issues that are specific to our company. The biggest issue is our inability to hit the sales plan in the past years. There are multiple reasons behind this. We cannot deny the fact that our sales plan was overstretched given the rapid changes in the markets. While our sales volume declined, the fixed cost, mainly the G&A expenses, are on the rise, along with increasing variable expenses resulting from raw material price hike, supplier compensation and other factors. Deterioration of model mix and rising incentives to reduce inventories and take competitive action also had negative impact. Another big challenge is our inability to deliver the right products that cater to the customers’ needs in a timely manner. One example is the United States. Until the end of fiscal year 2023, we were implementing Nissan NEXT business transformation plan. As a result of the series of initiatives, we were able to generate an operating margin that was close to the Nissan NEXT goal. However, in reality, we were helped by the significant supply-demand imbalance due to semiconductor shortages. The environment facilitated our sales without relying on incentives. After the markets normalized, we started seeing actual competition. This revealed various issues of our company such as cost competitiveness and brand power. Meanwhile, back in March, we unveiled the midterm plan, The Arc that bridges Nissan NEXT to Nissan Ambition 2030. After defining The Arc, the markets continue to see significant changes. Given the latest situation, we have no choice but to partially revise the plan. Let me walk you through the list of initiatives defined in the turnaround plan. Given the poor performance of the company and the market environment, the Turnaround actions are intended to recreate a lean and resilient business structure that can adapt to any changes in the business environment with flexibility and agility. It is also designed to increase product competitiveness, which is at the core of our business and bring Nissan back on the growth track. Specifically, we are rightsizing the organization and transforming the profit structure to enable the company to afford shareholders return and continuous investments for future growth even with an annual sales volume of 3.5 million units by fiscal year 2026. At the same time, for the mid- and long-term perspective, we are increasing investment efficiency and product competitiveness by promoting strategic partnerships with Renault, Mitsubishi Motors and Honda and other means to ensure sustainable growth. In order to drive the Turnaround actions with quick decision making, we are revising the top management. As a first step, we will appoint Chief Performance Officer who will be responsible for sales and profit as of December 1. We will be making further changes to the leadership team in January and April next year. In addition, we are defining the roles of global headquarters and the regions more clearly, while streamlining the organization and making processes more efficient to enable us to quickly adapt to the changing business environment. The Arc midterm plan call for 1 million unit sales increase and an operating margin of 6% or more. Given the circumstances, we are revising the objectives. Let me describe the initiatives to realize the plan from two perspectives, namely stabilization and optimization of the business and stronger products and future growth. Actions to stabilize business are already underway. Tight control on marketing expenses and SG&A expenses; reprioritization of CapEx and R&D expenses; voluntary separation program in the United States; production adjustment and tight control on inventories, these are some of the examples of ongoing efforts. We are going to take additional actions to stabilize the business. In order to maintain a healthy level of cash flow and improved profitability, we are doing the following: 20% reduction of global production capacity; headcount reduction of 9,000 globally; and cutting SG&A expenses. A series of action to reduce manufacturing costs. Some of the examples are minimization of parts variation and spec optimization, which are some of the means to cut cost of next-generation EV. These initiatives will be applied to ICE and the e-POWER models ahead of schedule, rationalization our asset portfolio, reprioritization of CapEx and R&D expenses. Through these efforts, in comparison to the fiscal year 2024 level, we are cutting fixed costs by ¥300 billion and variable expenses by ¥100 billion. All the new models that we launched this fiscal year are well received in the market. This demonstrates that our products are more competitive. However, changes in the markets are getting faster and greater. We have to work harder to address the challenges. These are the actions to address our product portfolio to maximize the market opportunities: Accelerated introductions of new energy vehicles in China, plug-in hybrid and e-POWER-equipped vehicles in the United States; increased sales volume per model to enhance model efficiency; and make our brand power stronger. We are making our offer more competitive by doing the following: reduce development lead time to 30 months to immediately reflect customer needs into our products. Offer diverse powertrains in order to adapt to market changes. We also continue working to make our development more efficient in order to make the above items a reality. These are what we are doing about important partnerships that support our growth strategy, maximize the use of the Alliance with Renault and Mitsubishi Motors, deepen partnership with Honda and develop smart partnerships to complement on the technology and software services domains. This is the outline of the Turnaround actions. I will update you on the progress in due course, such as on the occasion of the earnings announcement. Since I became CEO in December 2019, our company has worked on Nissan NEXT for about 4 years starting from May 2020. It is my deepest regret to face this challenging situation in the initial year of The Arc, a plan to take our company towards future growth. The lives of 130,000 Nissan employees and their families around the world rest on my shoulders. I feel great responsibility as a leader of the company. The message of the turnaround plan is that this is not intended to make our company shrink. As I said in the beginning, it is about rebuilding a lean and resilient business structure that adapts to any changes in the business environment with flexibility and agility and increase product competitiveness, which is at the core of our business and bring the company back on the growth track. My biggest job as CEO is to pave the way to make what I presented a reality. I am determined and committed to fulfill my duty as CEO. That concludes my presentation. Thank you for your attention.
Operator: Thank you, Uchida-san and Ma-san. [Operator Instructions] The first question we have is from Nikkei Shimbun, Ochiai-san. Ochiai-san, could you please ask your question.
Makoto Ochiai: This is Ochiai from Nikkei Shimbun. Thank you for the opportunity. I have two questions. The first one. This deterioration of financial performance, I think the biggest cause is U.S. operations. With regards to U.S. operation, what are the causes behind the underperformance? And how are you going to recover? Including U.S., the results were – and how do you assess this deterioration in performance as CEO? This is my first question. And Mitsubishi Motors stake will be sold partially. Why now? And 10% that you are selling, what’s the significance or meaning behind it? You still remain a large shareholder of Mitsubishi Motors, but will this affect the relationship between Mitsubishi Motors and Nissan? These are the two questions. Thank you.
Makoto Uchida: Yes. Thank you for the question. Starting with the second question, which is about Mitsubishi Motors stake. As I mentioned earlier, we need to bring back Nissan on the growth track, and Alliance is an important partnership. And with Mitsubishi Motors, we have been collaborating on many projects to enhance the value of two entities, and this remain unchanged. And every day, we are initiating new activities with Mitsubishi Motors. That’s the message. With regards to this transaction, Mitsubishi – in order to support the business strategy of Mitsubishi Motors, this transaction will be done. As a result of the transaction, we would like to increase the flexibility of the financials of Nissan at the same time. Needless to say, as we work together with Mitsubishi Motors, we are discussing what should be the right level of ownership. Well, even just – even in the process of discussion with rebalancing with Renault, we have had this discussion. And we – I am also discussing about the ownership in Mitsubishi Motors with the top management of Mitsubishi Motors. And Mitsubishi Motors approached us and make a suggestion, and we agreed to support the business strategy of Mitsubishi Motors. This is what’s behind. And going back to the first question, U.S. operation. How do I assess this? As I said earlier, the biggest issue is the fact that we are – our core models that we plan for are not selling as much as I expected or they are not generating the profit that we expected. This is the biggest cause. In North America, hybrid market is sharply increasing, and we don’t have an offer. That’s one issue. However, looking back in the past, this is a big reflection by the way, because the imbalance between supply and demand, when the demand was higher than supply, we were able to reduce the incentives. That happened between 2021 and 2022 during the pandemic. When the market normalized, our core models’ profit were not generated at the exec level, and this is revealed this year. And in these circumstances, unless we enhance the brand power, in the tough market like today, U.S., which is a key market, we are unable to enhance the presence unless we have a better brand power. That is why we are taking new actions in the region. And we are going to introduce the members who are necessary to do so in order to increase the presence in the U.S. because this is very important. In that sense, the message here is that we were unable to generate the profit that we expected with the core models. But the new models that we launched this year are highly appreciated, like new Kicks. New Kicks are selling as we planned. And INFINITI QX80, these new models are doing better than what we expected. So we would like to continue growing this so that we can increase the presence in the United States. That’s what we would like to put efforts in. In many aspects, we spent a lot of incentives, and this is one of the negative impact on operating profit, and you see a significant impact compared to the prior year. As we increase the sales power, in many aspects, we see cost increase because we are unable to achieve the sales plan. As a result, there’s a supplier compensation and other factors that are requiring spending. So brand power, cost structure are what we are addressing to reconstruct our performance or recovery of the performance in U.S. operations. That’s the message. Thank you.
Makoto Ochiai: Okay, understood. Thank you very much.
Operator: We move on to the next question. It’s from NHK, Obi-san.
Unidentified Analyst: Yes. This is Obi from NHK. Do you hear me?
Makoto Uchida: Yes, we do. Go ahead.
Unidentified Analyst: Yes. Thank you. Uchida-san, I have two questions. The first question. With regards to the U.S. presidential election, Mr. Trump will be the next president. You are exporting a lot of volume from Mexico to U.S. Under the new administration led by Trump-san, how will it impact your business? What’s your assessment here? And what are the actions that you are taking? This is my first part of the question. And the second one. You are reducing the global headcount and you are forfeiting your part of compensation. You are taking these actions. Honestly, how do you assess this latest performance? How are you going to recover the performance? What’s your approach here? These are the two questions. Thank you very much.
Makoto Uchida: Starting with the first question, we are exporting a lot of vehicles from Mexico to U.S. What are the models? Sentra, versa as well as the new Kicks which I referred to earlier. A lot of models are exported, like 300,000 units are exported for this fiscal year. Yes. For example, tariffs policy, I heard about some policy around tariffs, for example, but not only us, but many carmakers are using Mexican production. So we would like to do a lot of lobbying efforts. And for the mid and long-term, the direction will remain unchanged, but we will monitor carefully what is happening to figure out what should be the right direction. That’s my answer to the first question. Second part of the question, needless to say, after we unveiled The Arc midterm plan, we want – and this was intended for the growth in the future. But despite the external environment, which is challenging, we also face a problem specific to Nissan. And we made – we had to make a downward revision 2x. I feel responsible for this. With regards to the management responsibility, what I have to do is first to – we – the turnaround may give you an image that we will shrink for temporarily, but we will make our company stronger and pave the way for the growth in the future. That’s my mission as CEO. In the Nissan NEXT business transformation plan, we have been enhancing the quality of sales, and that has been the result. But based on what we see in the market today, we need to increase the brand power and increase the presence. That’s what I would like to work on. This is an immediate challenge that I need to address. As I said, the question is how to do it fast and adapt to the reality. That’s a key. It’s imminent. And in the future, there are a lot of uncertainties. In these uncertainties, we need to bring Nissan back on the growth track. That’s the immediate challenge of mine. This is my primary mission for now. I take the situation very seriously. Thank you.
Unidentified Analyst: Thank you.
Operator: Let’s move on to the next question from Nikkan Kogyo Shimbun, Murakami-san.
Unidentified Analyst: This is Murakami-san of Nikkan Kogyo Shimbun. Can you hear me?
Makoto Uchida: Yes. Please go ahead.
Unidentified Analyst: I have two questions. First, Honda, this partnership, you are engaged in consultations. Your results were deteriorated. Will this have an impact to the progress of your talks with Honda? In your partnership with Honda, again, can you describe the position of Nissan and the concept of Nissan? That’s my first question. Second question. Chief Performance Officer will be appointed, and you also plan to change the top management structure. What is the objective of changing the top management structure? And how effective will those measures be? And Mr. Uchida, you said that further changes will be made to the top management team. What specifically are you planning? What’s the picture you are drawing? Can you give us more details? Those are my two questions.
Makoto Uchida: Thank you. Let me take the second question first. At the moment, in the automotive sector, including Nissan, this is a lesson learned. We haven’t been able to catch up with the times. We weren’t speedy enough. So I think we need to accelerate speed. Then what is the kind of business structure that is required to do that? It’s not just about top management. For example, in regional branches and the headquarters, there has to be a better division of roles in order to speed up the decision-making, and we are engaged in such review. To date, we were engaged in global model, and we were looking at the global market. And there will be a change, as I said. Then we need the agility in our business structure that will enable us to do that. But we have to fix a few points. In order to become a more agile company, what do we need to do? This kind of discussion is underway amongst the top management. And what would be the desirable management team that will drive Nissan towards the growth track. So those are some of the major transformations that will take place. And on your first question, discussions with Honda. This will be a repetition of what I said. But in March and August, we made the announcement. And what is the motivation? On many fronts, going forward, we need to strengthen our competitiveness. There are limits if we are to do that alone. So that had triggered us to engage in partnership with Honda in a multifaceted manner. And software basic element technology will be jointly developed and how we can further evolve such technology and joint specifications in battery, e-axle. These are some of the areas where we continue to engage in discussions. Since our announcement on 1st of August, we have been closely contacting Honda, and progress is being delivered in a steadfast manner. But Nissan’s results wasn’t so desirable. This is a fact. So we need to implement our turnaround initiatives and to put our actions together. And this is Nissan’s homework. And at the same time, in terms of future competitiveness, we will also rely on our partnership with Honda, and it also depends on how that could be evolved. Thank you.
Unidentified Analyst: Thank you. To follow-up, with the results deterioration, as equal partners, are you going to continue our discussion? Is it possible for you to maintain equal partners with Honda? With Nissan’s results deteriorating so badly, isn’t that going to be difficult?
Makoto Uchida: As I said, the objective is maximization of competitiveness by putting our efforts together with Honda. So I do not think that there would be impact to our discussions. Of course, we have to deliver as an independent company. That’s a major prerequisite.
Unidentified Analyst: Thank you.
Operator: Let us take the next question from Hata-san from Toyo Keizai.
Unidentified Analyst: Yes. Hata from Toyo Keizai speaking. Do you hear me?
Makoto Uchida: Yes, we do. Go ahead.
Unidentified Analyst: Okay. Uchida-san, I have two questions for you. The first one is about The Arc sales plan. With the poor results and you also announced the turnaround initiatives, you have just announced The Arc in March, which is 1 million unit sales increase. Are you going to give up on that? 3.5 million units will remain for the midterm. And by region, what will be the decrease of the sales, if you can disclose it? This is the first part of the question. Second one is Nissan’s cash flow. You are selling 10% of the stocks of Mitsubishi Motors is one of the reasons the concern on cash flow of Nissan? You are buying back from Renault, and you are investing in electrification. In the next fiscal year, I’m sure you are going to reimburse a lot of loans that you got during the pandemic. Fixed cost reduction of ¥300 billion and ¥100 billion reduction of variable expenses that you announced. Can you really improve the free cash flow in Nissan? Is this enough?
Makoto Uchida: Thank you. The second question will be summarized by myself and turn it over to CFO, Ma-san. Starting with the Mitsubishi Motors stock. As I said, Mitsubishi, this is about supporting the business strategy of Mitsubishi Motors. That is why it’s on the very day of financial announcement. So that is why you are asking that question, I believe, but that is why we are doing this today that based on the cash flow of first half of the year, we need to make it stronger. That’s our big challenge indeed. ¥150 billion operating profit is the full year guidance. So how to make the cash flow healthy or maintain the healthy level of cash flow is the immediate challenge. On this point, automotive free cash flow is what we need to improve. We need to increase the earning capabilities. That should be the prerequisite. So, I would like to ask Stephen to give more details on this point. Thank you. Ma-san, go ahead.
Stephen Ma: Yes. Thank you, Hata-san, for the questions. So, obviously, as you saw from our financial, we have pretty healthy net cash position still at ¥1.3 trillion. Our liquidity is still very healthy at – unused facility is about ¥1.9 trillion, and cash and cash equivalent is about ¥1.4 trillion. So, we have enough cash for now. And so that’s not the reason for selling that 10%. Obviously, as Uchida-san just mentioned, we are supporting Mitsubishi Motors’ strategy in how they want to achieve their shareholder return objectives and other enhancements. So, right now, we are okay, but obviously, the corporate loan that you referred to, we already repaid a lot of them the last couple of years. If I remember correctly, more than ¥500 billion, we already repaid of the corporate loans. And also, there are very few left, but there were a couple of more U.S. dollar bond and euro bonds, we already made the first payment last year as well, more than ¥200 billion. So, we are able to repay our debt as well. So, for now, obviously we are okay. But as you saw, the free cash flow for first half was not desirable, so we need to improve our cash generation for our auto business, so we can make sure everybody is reassured about our position. Thank you.
Makoto Uchida: The first question, The Arc, 1 million unit sales increase, are we going to give up on it? As of today, 1 million unit sales increase will be a tough objective. But how much will we revise to, it’s very uncertain to say or make a projection. So, in due course, I would like to show what we are going to shoot for. But before that, based on the latest performance of the company, we will do what we have to do immediately. We will address some of them in this fiscal year. So, in the fixed cost that we assume in The Arc, we try to boost – increase the fixed cost in The Arc, but we are going to address it given the latest performance. And as I said, we are going to reduce the G&A expenses and other spending. So, these are the key challenges. I think you want to ask, we introduce – we are going to introduce 30 new models. And you may ask, are you going to cancel this product plan? These 30 new models remain, but the introduction timing may change because we are going to discuss on the volume assumption and the market environment. There may be a revision on the timing of the introduction of the 30 new models.
Unidentified Analyst: What is the regional breakdown? Is there anything that you can unveil?
Makoto Uchida: Regional breakdown of the volume, please give us more time, then we can give you more precise forecast. But today, 3.5 – even at 3.5 million units, we want to be able to generate profit. Such structure is what we want to develop in the turnaround initiatives. So, it doesn’t mean that 3.5 million units is the projection. Even at 3.5 million units is the assumption, and this includes China. So, given the latest performance, we are at 3.4 million units. And even if we only increased by 100,000 units in the next 2 years, we should be able to generate the profit. That’s the kind of structure that we want to design. That’s an immediate challenge. Having said that, how do we foresee the growth, should be updated to you in due course. Thank you.
Unidentified Analyst: Thank you so much.
Operator: We will take the next question from Automotive News, Hans Greimel.
Hans Greimel: Yes. Thank you for taking my questions. I have just a question about the Slide 16 and the stabilized and right-size the business. Some of the measures that you are taking include the 20% global reduction in capacity and the 9,000 person headcount reduction. Can you tell us a little bit about where you plan to do the production capacity? What the end result will be like in terms of total production capacity? Where it will happen? And the same with the headcount, how do you get the 9,000 headcount reduction, or where will it happen? And then for both of these goals, what’s the timeline? When do you need to achieve this by?
Makoto Uchida: Thank you for your questions. At the moment, 3.4 million this year and production capacity, 3.2 million, and current capacity, we have about 5 million, close to 5 million, so we need to right-size and size down. But plant closure is not the objective. There could be various spins. We – I can’t mention where we are going to do that. But what are we going to do, what kind of things are we going to do, we have Sakamoto-san, who is in charge of production. So, I will ask Sakamoto-san to supplement.
Hideyuki Sakamoto: Yes. Thank you for your question. I am a Chief Monozukuri Officer. My name is Sakamoto. Starting with China, production adjustment in China and global Nissan production adjustment, I would like to classify them into two parts. For the global production volume adjustment, we have 25 vehicle production lines today. And these 25 production lines, what we do, specifically, about 20% of operational maximum capacity will be cut. That’s our intention and the efforts are underway. What’s the concrete way to do so, we reduced the line speed and changed the work shift patterns. This is how we can increase the efficiency of the operational staff members. And another way, this is already incorporated into the plan. Outdated, there is one outdated line and new line in the same plant. So, we will focus the vehicle production on the new one, so that it’s more efficient. And the third way, this is already done, which is Nissan Intelligent Factory. Using some of the technology in Nissan Intelligent Factory, we are going to enhance the efficiency of the operation. So, in which region are we going to reduce largely, that’s not what we are doing. As I said, against these 25 production lines, depending on the market circumstances, we are going to take what’s the right actions and reduce our operational workers. This is feasible. And we would like to make this a reality during The Arc. For China, this involves the vehicle production of the Chinese partner. So, these vehicles are producing in the same line, so it’s a bit complex. And I am personally, I am not in a position to talk about how we are going to make adjustment for the partners, but this is under discussion. By – through similar actions, we are going to optimize the operations. Thank you.
Operator: Thank you, Hans. Let’s move on to the next question from Asahi Shimbun, Nishiyama-san [ph]. Okay. We just skip over to – we will come back to Nishiyama-san, we will take Umeda-san [ph] from TBS first. He is in the line. Umeda-san?
Unidentified Analyst: This is Umeda from TBS. Do you hear me?
Stephen Ma: Yes, we do. Go ahead.
Unidentified Analyst: Yes. As Sakamoto-san explained, plant closure is not an intention. You are optimizing the lines across the world. Including the reduction of headcount, does this happen also in Japan? And what’s the specific timing? As of today, you cannot disclose the specific timing. These are my questions.
Makoto Uchida: Excuse me, place and timing will not be disclosed today. But as Sakamoto-san said, we are taking the how is what you want to hear about. And we – as we look at the regional strategy, we need to think about the production footprint. That’s what we are going to review and discuss.
Unidentified Analyst: And Uchida-san, one question, U.S., profit is deteriorating in U.S. because you are increasing the spending of incentive. I think this is one of the big causes. Because of the rising incentives, the performance is deteriorating. Well, after Mr. Gan left when the company’s performance deteriorated, it seems like the situation is similar. So, when compared to when you made a huge loss back in the past, you couldn’t change Nissan, or are you in the process of changing the company? What’s your assessment?
Makoto Uchida: The way we spend the incentives in the past and how we spend the incentives today is a bit different, as I said. In Nissan NEXT, we have been working to enhance the quality of sales. And on quality of sales, we are seeing the results which is getting better, that’s what we confirmed. But still having said that, our core models, we are unable to deliver the profit with the core models, that’s one issue. Segment market share, there are many key models that are strong in terms of segment market share, but is it translating to the bottom line, well, you can see it in the results. Compared to the prior year, profitable models are not delivering the results that we expected, and we are trying to compensate for it with other models to maintain the segment share. That’s the reality. But the new models that we launched this fiscal year are well received. Therefore, we are not selling at the bargain or damaging the price. But we are unable to deliver the profit which we expected, and the sales volume, the core models are falling short of the expectation. These are the lessons learned. At the same time, car flow management is what we need to strengthen in the sales and production meeting. Given the market circumstances, the market is becoming tough, even in the United States, so we need to foresee what will be happening in the market to – and gave our accurate forecast and project the production volume in accordance with the accurate forecast. This is a matter of course. But did we do this effectively, looking back in the past year, there were areas in terms of timing of minor model and introduction timing where we had the problem, so we need to fix this. This is an immediate challenge. Thank you.
Operator: We are tight on time. So, we will make this the last question. Asahi Shimbun, Nishiyama-san.
Unidentified Analyst: Thank you. And apologies for the lack of connection previously, can you hear me?
Stephen Ma: Yes, we can hear you. Please go ahead.
Unidentified Analyst: Thank you. I have two questions. First, the results were undesirable. One of the causes was the U.S. market, and you explained that in your presentation. But about the original plan and targets that were set in the original plan, weren’t you overoptimistic? It’s in hindsight, but don’t you think that the plan originally was overoptimistic? Why were the plans so much deviating from reality? And to a certain extent, you know what the U.S. market would be like since last year. So, weren’t you able to factor that in? That’s my first question. Second question. e-POWER or PHEV will be introduced in the U.S. market, but by when? What’s the speed at which you will be taking those initiatives, you need to rush. What is your prospects for the U.S. market?
Makoto Uchida: On the second point, in The Arc, we already introduced our initiative of considering introduction of PHEV in the U.S. market. So, that was back in March. So from there, we are talking about front-loading that by a few months. That kind of internal discussions are being held within our company. But can we do that next fiscal year, that’s probably extremely difficult. So, brand power and sales power we have at the moment, how can we recreate our sales power so that we can deliver results in the U.S. market, that would be our priority. On your first question of were we overly optimistic, no, we weren’t optimistic. But we were determined to go that far. In hindsight, we had been overstretched in terms of the volume target. That’s in hindsight, we can’t deny that it was overstretched. So, accuracy of sales projection and precision in terms of coming up with forecast is something that we need to think about. I don’t want to sound like I am giving you an excuse, but we weren’t able to foresee that HEV and PHEV would be so popular. That was 1 year ago, and since the end of last calendar year, we began to see this trend. But core model is switching didn’t match the timeline. So, we are confident that if we overcome those challenges that we would be able to deliver results. But in the very tough market environment, unless incentives are paid, we were not able to sell units. And in terms of U.S. fleet business, competition is intensifying significantly, more significantly than we had assumed. So, the result is serious. We are responsible for that, and we regret that, so how can we take advantage of the lessons learned. As I said, KICKS will – has proven to be very popular, and sales units are as planned. So, based upon such results, we would like to further improve the U.S. business and redesign our U.S. business. Thank you.
Operator: Thank you, Uchida-san. With that, we will conclude today’s session. Once again, thank you for joining us. If you have further questions, please direct them to Nissan Communications team. Have a good evening.